Isabel Troya: Good afternoon, everyone, and welcome to Logista's H1 Results Presentation. I'm Isabel Troya, Head of IR for Logista. Today, Pedro Losada, our CFO, will walk you through the highlights and the results obtained during the first half of the year 2025. At the end of the presentation, we will have a Q&A session where we will where we will answer the questions submitted through the platform. You may write your questions at any time during the presentation. Now Pedro will go through the highlights of the period. Pedro, if you may, you can proceed with the results.
Pedro Agustin Losada Hernandez: Thank you, Isabel and good afternoon to everyone connected today for our results presentation. During the first half of 2025, we have achieved a robust set of results thanks to the growth of different business lines backed by a strong profit on inventory recorded for the period after tax and retail price movements in all three regions. As we mentioned in our first quarter of 2025 the results in the transportation business, particularly in Transportes El Mosca and the frozen segment has suffered from macroeconomic situation, which among others has resulted in lower European demand. As part of our efforts to improve operations, we are in the process of implementing different measures and improvements in El Mosca and in Carbó Collbatallé. In relation to our ESG commitment, we will update you with the KPIs for the period in regard to our 2024, 2026 sustainability plan. In the following pages I will give you further details on these main highlights. Within the macroeconomic situation for the year, inflation has continued to improve unlike during 2024 resulting in substantial interest rate cuts by the European Central Bank ending the period with a reference rate of the ECB at 2.65% versus 4.5% during the same period for 2024. Looking into our results, we have recorded increases in most of our businesses. Economic sales increased by 6% year-on-year, reaching a total of €916 million. In terms of the split per area, Iberia reached economic sales of €606 million, Italy recorded €213 million and France €101 million. Adjusted EBITDA raised by 5% to €202 million. This figure includes a relevant profit on inventory, each even higher than the figure obtained for the full year 2024. For the period, changes in tobacco taxes and prices led to a total profit on inventory of €46 million. Net profit reached €151 million, a 5% decline compared to last year given the lower interest rates recorded for a period. Later on, we will dive deeper into each of the regions. As I have just mentioned, during the period we have recorded a total of €46 million as profit on inventory. All three regions have had changes in taxes and in retail price. In Spain, excise tobacco taxes has been raised significantly compared to the small changes made in 2022 and 2023. Furthermore, the government has imposed for the first time taxes on products, which have nicotine but do not have tobacco, such as vaping products or nicotine pouches. The average equivalent tax increase for traditional tobacco has been around €0.20 per pack, to which manufacturers have responded with price increases up to $0.40 per pack. In Italy, there has also been increases in taxes and prices. The key value tax increase for traditional tobacco has been around €0.10 cents euro, with a subsequent increase in retail prices of between €0.10 and €0.30 per pack. Lastly, in France, the government continued with its strategy to increase tobacco taxes to reduce consumption, although at a lower rate than previous years. This year the equivalent tax increase for traditional tobacco has been around €0.25 per pack, with manufacturers increasing prices by €0.50 euro per pack. The relevance of the profit on inventory for the year has partially compensated the lower financial income and lower performance of the long haul transportation business. Since we acquired 100% of Transportes El Mosca, we have been putting in place different measures to optimize the company. Firstly, we put in place a new management to lead the company for the future. As a second measure, we have implemented logistics control measures and compliance procedures to safeguard daily operations and improve governance within the company. We have also worked on improving the quality of the analytical data to allow for better informed decisions. Furthermore, following Logista's financial discipline, we are taking different actions to improve profitability of the company. Some measures include analyzing and optimizing the client mix, focusing on clients who demand international transportation. Within El Mosca, I would like to mention that we are working on completing the optimization between El Mosca's road transportation business and Logista Freight where Logista Freight is taking over the fleet planification and route assignment, implementing further cross selling actions with pharma business and allocating free capacity of Mosca to freight to optimize the use of the vehicles. I would also like to mention Carbo. As we said on our first quarter results, frozen transportation has suffered certain slowdown during the period and here we are also implementing measures to improve profitability and operations within the company. Moving on to our sustainability highlight, I will give you some details on the advancement of our sustainability plan 2024, 2026. In environmental matters, we remain committed to decarbonizing our fleet given that 97% of our emissions result from transportation services. We have continued to increase the kilometers rolled by Euro six vehicles, reaching 85% of total kilometers on track to reach our 2026 target. In circular economy matters, we started an initiative to recycle NGP devices last year by installing recycling boxes in tobacconist and managing the entire recycling process. As you may recall, this initiative was first launched in Italy with an agreement with the Tobacconist Association and the Ministry of Health, and we started the same initiative in Spain and France at the end of last year. Among the three countries, we currently have more than 32,400 points of sales added to the initiative at the end of the semester. In social matters, we consider talent to be one of the key elements to achieve success and to secure competitiveness within the business. This is why we have set a target related to talent with critical positions of the company. The target has been set to reach a 95% talent density by 2026, having reached 93% at the end of the period. Another key area within the social strategy is diversity in general and within our employees. This focus on diversity has led us to set a new target of reaching 30% of women within upper and middle management by 2026, which we are currently surpassed at 30.6% and we continue to work to maintain the split. In governance matters, we implemented a new platform, which allows us to evaluate our suppliers on ESG and financial matters as part of our target to evaluate suppliers. Finally, we have approved a new data protection policy within the company, improving our business ethics and governance. Now I will give you further details for each of the regions and businesses, starting with Iberia, our largest market, economic sales has increased by 6% to €606 million and adjusted EBIT has decreased slightly by 1% to €107 million. Digging deeper into each segment in the tobacco and related products, tobacco volumes during the period remain stable, recording a slight increase of 0.3%. In particular, traditional tobacco volumes in Spain decreased by 0.4% while in Portugal volumes recorded an increase of 5%, while raw urine [ph] and other increase in both countries. During the period, the manufacturers increased the tobacco retail price in Spain by €0.40 per package, anticipating the announced tax increase, which was effective as of January 1. These movements has resulted in an estimated profit on inventory of €34 million compared to the €19 million for the first half of last year. In the Transport segment, economic sales reached €455 million, recording a 3% year-on-year increase despite the slowdown in European demand, which affected long distance transportation results. Logista Parcels business is performing well with sustained single digit growth, thanks to the higher volumes distributed in pharma and food sectors. As per frozen food distribution at Carbo and long haul at Mosca, I already gave you information on those businesses in the previous slides. The grey segment still records healthy growth thanks to increases in deliveries and full consolidation of BPS within the period. In pharma, economic sales increased by 13% to €55 million. By increasing services provided to existing clients and seeking new clients within both the pharmacy and the hospital sectors. We have continued to expand our service of providing medication to in-house patients with a nursing team to administer the drugs. And finally our publications segment recorded a slowdown in economic sales with a 4% decline due to lower volumes distributed. Moving on to Italy, economic sales reached €213 million after a 12% increase versus year. Last year an adjusted EBIT in Italy reached €68 million after a 27% increase against the previous year. During the semester, total tobacco volumes fell by 2.3%. It is worth noting that this includes also a fall in HnB volumes given the fact that that in April 2024 flavour HnB was banned in Italy and sales increased substantially before the ban was enforced so year-on-year data is not fully comparable. In Italy, manufacturers also increased the retail price of tobacco as a response to tax increase by the government. For the year, we recorded a total profit on inventory of €9 million given the manufacturer's reaction on price compensated for the tax increases compared to a negative impact of 1.5 million for the first half of 2024. As you may recall, during 2024 we started to distribute tobacco in the Netherlands on behalf of one of the large tobacco manufacturers. This business has continued to expand consolidating the services offered to tobacco manufacturers. Looking to the convenience distribution in the recycling of NGP devices, we have already installed recycling boxes in 30,000 tobacconists throughout the country. Finally, in the pharmaceutical distribution segment, we have renegotiated contracts with existing clients have grown organically adding new clients to the portfolio. Furthermore, we are expecting to open a new pharma warehouse in the north of the country to help the pharma expansion in Italy. In France, economic sales recorded a decrease of 9% year-on-year to €101 million while adjusted EBIT for the period amounted to €26 million after a 14% decrease mainly due to a negative impact of the registering a lower profit on inventory against last year. In France, there was also an increase in taxes by the government like in Italy and Spain which was followed by an increase in the selling price of tobacco by the manufacturers of $0.50 per package. These changes in taxes and tobacco prices had an estimated positive impact of €4 million on the value of our inventories compared to close to €8 million for the same period of 2024. Looking into tobacco volumes distributed, France continued to show a faster pace in the decrease in volumes distributed than Spain or Italy with 12% less tobacco distributed during the period compared to the previous year. In the convenience product segments, we continue to register growth in the electronic transaction business, particularly on the recharged cash cards, which we call eMoney. Furthermore, we continue to gain tobacconists who include our software and hardware as cash registers in the shops, adding a new personalized service space with a variety of tailor made services and information embedded within the Strator machine. Lastly, in the NGP recycling business line we have reached 1250 tobacconists that have joined the initiative within the country. After giving you details of each region, we will move into the consolidated figures for the period. Total adjusted EBITDA increased by 5% to €202 million, supported by a positive performance of the activities, the strong positive impact of the inventories valuation and a continuous effort to contain costs despite the general inflationary pressures. Looking at the differences for the year per item, economic sales grew versus last year by €49 million, backed by the good performance of the business in Iberia and Italy and the profit on inventory. Finally, reported EBIT reached €174 million representing a 4% increase on last year's figure after recording a similar restructuring cost which was compensated by the capital gains on the sale of two assets in Spain. Bottom line, net profit decreased by 5% mainly due to lower financial results for the period of €29 billion against €48 million last year. This decrease of €19 million in financial income is a result of the lower interest rates for the period. As you may recall, 2023 and 2024 were years with very high interest rates, finishing the semester of last year with a reference rate of 4.5% plus 75 basis points in an agreement with Imperial. The European Central bank started to decrease interest rates back in June 2024 once inflation reached sustainable levels. Given this rate cut scenario, the first half of 2025 ended for Logista with a reference rate of 3.03% plus 75 basis points on our credit line. The Imperial credit line balance during the period was €1.7 billion versus €1.9 in the previous year. Furthermore, the decrease in profit before tax translated into a €3 million lower tax expense with a slightly higher corporate tax rate at 25.8% versus 25.6% last year. We concluded the period with an earnings per share of 1.14 versus 1.21 for last year. The positive business performance and profit on inventory for the last year has led to a 6% increase in EBITDA compared to the previous year. On the other hand, financial income collected decreased to €33 million compared to the €52 million in 2024. Given the current interest rates, restructuring costs paid during the period amounted to €5 million and normalized taxes reached €59 million. CapEx for the semester amounted to €28 million and it included among others investments made in warehouse improvements, shortage and automatic loading deck. Leases recorded €37 million closing the period with normalized cash flow of €164 million. We conclude the semester with a cash position of more than €1.8 billion. Now we'll move to our final remarks before opening to the Q&A session. I would like to mention as the first closing remark the relevant profit on inventory recorded for the period after tax and price movements in all three regions. We continue to work on improving operating results on the acquired businesses with different measures in place which I have already given you information on. On ESG matters, we have continued the execution of our 24 to 26 sustainability plan with different targets set for each sustainability criteria. Finally, the diversification strategy continues to progress while maintaining the hurdle of 50% economic sales coming from non-tobacco businesses which we surpassed last year for the first time. Dividend continues to be a priority for Logista and even though we continue to look for mid to small size acquisitions in order to grow the company and execute our diversification strategy, we will continue to distribute dividends according to our policy. Furthermore, we would like to emphasize our commitment to distribute at least the same dividend during 2025 as in 2024, increasing the payout accordingly if needed. We are aware of the importance of our dividends for our shareholders. In terms of outlook, after the already recorded profit on inventory, we expect adjusted EBITDA including POI to be in line with market expectations for fiscal year 2025. Given the current situation in the transport segment already mentioned, we expect that our adjusted EBITDA excluding POI for 2025 will be slightly below 2024 figure. Now we will proceed with the Q&A session. Isabelle, please, if you may.
Q -Isabel Troya: Many thanks for the presentation. We will now continue with the Q&A session by reading and answering the different questions that have been sent through the platform. The first question comes from Malantra [ph]. He was asking, could you expect more POI for the rest of the year? Second question is relating to El Mosca. When do you expect the problems to be solved in Carbó Collbatallé? Is it losing money? What is the problem with the business? In terms of cash why do the cash balances decrease during the year even though taxes have increased? Have the payment dates of taxes in the government change? Is it in France? And last question is, despite the problems of Mosca and Carbó, do you think it still makes sense to buy logistic companies and what is the return that you request on them? Thank you.
Pedro Agustin Losada Hernandez: Okay, thanks very much, Juan, for your questions. Let me go through all of them. There's a bunch of it. With respect to your first question on POI, the way it works it 100% dependent on manufacturer's decisions. But in terms of expectations, Logista is not expecting any additional changes on POI during the rest of the fiscal year 2025. To your question on when do we see the El Mosca, the Mosca issues solved? Obviously we are working on it. We are as explained in a plan where a sector at the European level, and particularly on the long haul transportation, has suffered from fluctuation, demand, geopolitical tensions and probably also from an excess of capacity that results in more price pressures. To make a long round on your questions, just to give more details on El Mosca, we said several times that we were seeing some challenges on our sector and we needed to react more quicker than we did in the past. After we got the 100% of the control, we are really acting faster to adequate the reality of this demand and market to the cost structure and profitability of the company. And with that full control, we impose management our internal controls and systems and stuffs and do several things with operations and putting more financial discipline. Again to your question, how much time do we need? Definitely we need for the rest of the year to put this in more order in the place that we want. In terms of that profitability, that more shifting to international and with a higher tariffs type of clients. Even make an analysis on whether it makes sense to be in certain areas or certain divisions are group age or parcels or other ones so that we need a bit more time. But we have a plan and we are positive that we could revert this situation sooner rather than later. With respect to Carbó, Carbó is basically a lack of a reduced reduction on demand and in particular in the frozen food sector, which is pretty much the focus on Carbó that was a couple of years ago or even more and is jointly operating with Parcel and in particular in restaurants in gourmet and high quality restaurants. That part of this niche has been suffered a bit more over the last year. And what we are doing is implementing a plan also with Parcel to increase that profitability with integration in the distribution network of Carbó with Parcel and obtaining the synergies that we were expecting. But probably making more effort to accelerate those synergies and working on increasing flexibility on distribution cost by contracting certain routes, extra commercial efforts and cross selling with partial clients and doing that consistent with our strategic approach. And hopefully again we can revert soon the situation of Carbó and hopefully we will need some times not only during, particularly during this part of the year. To your question on the cash position, on whether if there is any change on payment dates from the government or whether it's for France, the reasons of that decline is no, there's no any changes on payment dates from the government. But yes, basically, I mean despite we have seen the increase in taxes in some of the countries, the impact of volume reduction from France has been the main contributor to this decrease on cash balances. And to your question on whether after these experiences and challenges that we are facing on El Mosca Carbó, whether it makes sense to keep on going with our strategy of logistic companies and maintaining our growth on inorganic growth on Logista. I would say the answer is yes. I mean we did know that looking out your business and this inorganic growth be some risks and we are facing and we are managing them. But that doesn't mean that with the current situation and the size of the problem, we wouldn't be able to go on with the strategy. We have the cash, we have the strategy, we have some targets and we have also some lessons learned. And that doesn't mean that we should stop from our standpoint, the strategic, the Logista strategic approach for the near future.
Isabel Troya: Thank you, Pedro. Next set of questions come from [Indiscernible]. There's a first question relating to POI which was already answered. Then second question is if I'm right in the calculation, the adjusted EBIT excluding POI is dropping by 7% during H1 versus last year, which is a sizeable figure. Is this is all the drop link to the transportation segment. And third question, historically you have always guided for low or mid-single digit adjusted EBIT growth. This year seems more challenging. But when do you think you can get to the historical reference? Do you think next year you might reach the historical reference? Fourth question is relating to the different actions we are taking in transportation, which has already been answered. And the last question is do you have any M&A alternative under final stages or consideration at the moment?
Pedro Agustin Losada Hernandez: Thanks Pablo for your questions. The first related to the 7% decrease in adjusted EBITDA excluding POI whether it is right your calculation? The answer is yes. And related to that whether the decrease is only related to transportation segments or other areas, tobacco, books and pharma. Is that your question? Well, we are explaining in the presentation also the main facts on this decline. Tobacco, Spain, tobacco, Italy, other transportation areas or other businesses are evolving quickly quite well. But yes, I mean transportation and this part of El Mosca Carbó is the one more like in more the results as well as the decline on results for France. That's the main reason behind that XPY decline. And to your question on the mid-single digit guidance and when we are going to recover that let's tackle on the guidance for 2025. This the one that we are care of. We are trying to give based on these circumstances the better guidance for the market. But it's too early to give any other additional guidance further than fiscal year 2025. So your final question is related to M&A alternative and the final stages of consideration. From our side we have different M&A targets. We keep on doing a very hard work in the identification of alternatives that could create value for Logista in the different sectors in the different countries that we have mentioned several times. So Spain, Portugal, France, Italy, those are the areas where we have presence and where we believe that we can find attractive targets with synergies combined with Logista that is much more easy to reach that level of returns that we are asking. So we remain the same on that. Whether it is on final stages, I think the quick answer is no. Some advanced transaction that has been evolving over the last few months, but nothing really. So in those final stages that you are asking, we have had some transactions in the final stages that for several reasons we drop out the process but as of today we keep on working on that, but nothing in real final form.
Isabel Troya: Thank you. Next question comes from Jorge Orte. In November, Logista said it was considering a big acquisition in Europe in 2025. Given the decrease of net profit and the intention to keep dividend, do you consider such an acquisition would be virgin?
Pedro Agustin Losada Hernandez: Sorry, I didn't put press the button. Thanks Jorge. I don't know exactly when you say a big acquisition that we said by 2025. What we were saying is that we keep on maintaining the small, medium sized target acquisitions and we remain the same. Whether we can go more to medium rather than small is probably what we try to explain. I think that we have mentioned several times that we were not looking any transformational deal and we remain the same. But again, despite the dividend unaltered, as you mentioned, an acquisition will be viable. Yes, and as I mentioned, we maintain a strategic approach with the inorganic growth as the backbone of our strategy apart from the organic growth so we believe it's viable. But again, the number big or transformational is not part of our aim.
Isabel Troya: Next question from BMP Paribas, Francisco Ruiz [ph]. There's a question on POI which was answered already then is margins in Iberia in Q2 has gone below Q1 figure despite slightly, slightly better figures in transport. What is this due? How do you expect this margin XPOI to evolve? What is your best estimate for net financial income for the year at current Euribor?
Pedro Agustin Losada Hernandez: Okay, thank you, Francisco. On POI, I think that we said before with respect to the margins, not sure about your figures because Q2 we see both XPOI and with POI, which is pretty much in line with Q1, even a little bit higher in Q2 rather than in Q1. And with respect to the net financial income for the year at current derivative. Well, we've mentioned that the average that we have had it's 303. We need to include that the margin that we received from our agreement with Imperial. The mathematics are you can do it. I mean it's like around 3% plus 75 basis points with maintaining that average cash of roughly 2 billion, so something in the area of 65 to 70 should be the figure.
Isabel Troya: Next question comes from Alantra Equities. You said you expect adjusted EBIT in line with market expectations. What is this figure?
Pedro Agustin Losada Hernandez: Yes, thank you, Juan. Yes, we mentioned this also in the Q1 the market expectation comes basically from screens and what we see is the consensus of different annuals reported and published from the traditional press expert on this. And what we said is that we are in that adjusted EBITDA in line with that market expectations that we see and related to the figure, but definitely what we have seen. You can check in those screens that probably something close to what we have in 2024. Thank you.
Isabel Troya: Next question comes from [Indiscernible]. There's a first question on M&A which I believe Pedro already gave you the view of what we're looking at currently. And then it's how is the new tobacco business in Netherlands developing? Do you have any news about new manufacturers interested in the distribution? And the next question is, is there any news on the potential new tax regulations in Spain and the potential impact on your figures?
Pedro Agustin Losada Hernandez: Okay, thank you, Beatrice. Yeah, well we actually have started to work with a second tobacco manufacturer probably close to reach less very basic 3 PL logistics services for a third one. It was part of the plan. We are still in a very early stages in our in our steps in the country distributed now in close to or I think roughly below 800 points of sales. But including new manufacturers and new logistics services is part of the plan for the coming future. To your question on the potential new tobacco tax regulation in Spain, I would say it's not potential. It's already since January implemented with only a waiver related to nicotine products with non-tobacco. So that includes some vapors, nicotine pouches and E-cigarettes. That moves to April 1st but pretty much everything related to that tax regulation has already implemented in Spain. So you can see the impacts.
Isabel Troya: Thank you. Next question comes from Kepler. Can you detail the adjusted EBIT contribution from the tobacco distribution in Netherlands included in the Italian vertical?
Pedro Agustin Losada Hernandez: Thank you Pablo. We do not disclose this these specific numbers and particular adjusted a bit. It's true that it's embedded in the vertical in the Italian vertical. What we can say is that as I said we are in a very early stages, we are in a positive contribution from the Netherlands and we keep on growing from not material impact in the Italian numbers yet, but really positive with the evolution and the agreements that we are having with the manufacturer.
Isabel Troya: There are some questions from Santander, which relates to the situation in Mosca and M&A, which I believe they have already been answered. Next question is from Dunas. Within the long distance business, have you seen any particular sector showing signs of weakness in recent months? Can you provide more details in the cost reduction program you're implementing in the segment?
Pedro Agustin Losada Hernandez: Thanks Juan. Well, definitely long distance business, we have seen signs of weakness in the recent months and not only, not only six to eight months, even more. That's why when we started to explain to the market that we were seeing some weaknesses in that long haul business, we were also trying to get, as I explained, the measures faster not only related to cost reduction that for sure we do have. It's also as I mentioned related to profitability. Generally speaking, that means how we do need to face new businesses, current or future clients. The level of hurdle rates that we are asking whether we should have more strategic exposure to international transport or national whether we should be focused on certain specific areas or we should lift them. How is our approach due to circumstances and geopolitical tensions with respect to maritime business and stuff? So it's pretty much what we explain and where we are focused. Also understanding that part of that profitability has been reached by cost reductions related to the warehouses, trying to manage the trucks and vehicles and transportation in a wisely way. But I think that already answered this part of the question. Thank you.
Isabel Troya: The rest of the questions have already been answered throughout the different ones we have received, and there are no new further questions. Thank you very much everybody for joining our presentation. If you have any questions, we are available at Investor Relations to answer them at any time. Thank you. Goodbye.